Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to Koppers Third Quarter 2023 Earnings Conference Call and Webcast. At this time, all participants are in listen-only mode. [Operator Instructions] Please note that this event is being recorded. I will now turn the call over to Quynh McGuire. Please go ahead.
Quynh McGuire: Thanks and good morning. I'm Quynh McGuire, Vice President of Investor Relations. Welcome to our third quarter 2023 earnings conference call. We issued our press release earlier today. You may access it via our website at www.koppers.com. As indicated in our announcement we've also posted materials to the Investor Relations page of our website that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our website and a recording of this call will be available on our website for replay through November 2nd, 2024. At this time, I would like to draw your attention to our forward-looking disclosure statements seen on slide two. Certain comments made on this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks and uncertainties including risks described in the cautionary statement included in our press release and in the company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the company's comments, you should not regard the inclusion of such information as a representation that its objectives plans and projected results will be achieved. The company's actual results performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. The company assumes no obligation to update any forward-looking statements made during this call. References may also be made to certain non-GAAP financial measures. The company has provided reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures in its press release and the presentation slide referenced during this call as well as on our website. Joining me for our call today are Leroy Ball, President and CEO of Koppers; and Jimmi Sue Smith, Chief Financial Officer. I'll now turn this discussion over to Leroy.
Leroy Ball: Thank you, Quynh. Good morning everyone. Thanks for joining us today. I'd like to start off with a quick recap of our 2023 Investor Day held several weeks ago in Chicago as seen on slide three. We appreciated the support as many of you on the call today participated either in person or virtually and in total, we had 86 attendees. Koppers is now at the halfway point in our 2021-2025 strategic plan or as we like to refer to it, we're at the half. It is only fitting that our leadership team provided a halftime report where we highlighted key milestones of our strategy to expand and optimize our business around our core infrastructure, products and services and provided details of the progress made toward our goal of $300 million in adjusted EBITDA by 2025 while also laying out our game plan for the second half. In short, we're at an inflection point in both earnings and cash flow from this strategic plan. The first half has been all about the investment that would reap benefits once in place. Due to a lot of extenuating factors, completing the larger projects has been challenging and taken longer than first planned but they're now beginning to come online and we expect to see a step change in profitability and cash flow as a result. We've remained consistent in our goals over the final three years of the plan to achieve adjusted EBITDA of $250 million in 2023, $275 million in 2024 and $300 million in 2025 and we've laid the groundwork for that to happen. In the process, we will spend less capital to achieve those goals and expect to generate $450 million of operating cash flow over the second half of the plan. Generating over $80 million of cash flow in the most recently completed third quarter is a good start to reaching that goal. There's still work to do, but our focus now is on how we continue to strengthen the business model in place which in turn will grow earnings and cash flow further. For those who are not able to take part in our Investor Day, a video replay can be accessed on the Investor Relations section of our company website. I encourage you to take a look and get a better understanding of Koppers investment story. Now let's move on to a review of our third quarter. I'm pleased that once again we have many positives to share with you for the quarter and for the remainder of 2023. Slide five provides a summary of our key metrics for the third quarter. We achieved consolidated sales of $550 million, a third quarter record, and the eighth consecutive record for current quarter sales. We generated adjusted EBITDA of $71 million, a record quarter in profitability, and a fifth consecutive current quarter record for adjusted EBITDA. Adjusted EBITDA margin was 12.8% consistent with the prior year period. And as I mentioned a few minutes ago, operating cash flow made an impressive jump coming in at $81.6 million, a record quarter, and up from $46.2 million in the prior year quarter. Diluted earnings per share were $1.22 up from $0.91 from the prior year quarter and adjusted earnings per share were $1.32, exceeding the $1.19 seen in the prior year quarter. All the credit for the strong results belongs to members of our worldwide Koppers team who continue to stay focused on performing safely, efficiently, and profitably, regardless of challenges and headwinds. As always, our formula for success begins and ends with our people. Now let's take a look at our efforts in the area of Zero Harm, as seen on slide seven. Zero Harm 2.0 focuses on re-energizing frontline engagement and accelerating progress towards zero incidents across all Koppers facilities after we seem to plateau in our activities coming out of the pandemic. Zero Harm workshops are continuing for the leadership team of our utility and industrial products business where we fell behind on our integration during the pandemic due to the extended shelter and place orders. Now I'm proud to highlight that UIP for the year-to-date period reported a 75% decline in recordable injury rate compared with the same time last year through a focused effort on training, awareness, and leading activities. Congratulations to the entire UIP team for looking out for each other and embracing the culture of Zero Harm. In the third quarter, 25 out of our 45 operating facilities worked accident-free, once again proving it's possible. Three regional business units in fact have achieved zero recordables through the first nine months of this year. Australasia Carbon Materials and Chemicals and two performance chemicals regions, one in Australasia, the other in Europe. However, the overall rate of recordable injuries has shown a year-over-year increase of 7.5% and we're delving into the numbers to see what particular areas we need to draw a particular focus to. The practice of keeping our people out of harm's way is a relentless activity and something we will never take for granted. Slide eight highlights Zero Harm events intended to further support our safety culture throughout Koppers. In late September, we conducted our annual Safety, Health, and Environmental Coordinator Conference in Chicago where SH&E coordinators from a cross-art organization received training on energy isolation, air emissions control, and permit-to-work improvements. Next week, we will host our third annual Zero Harm Truck Driving Championship Competition in Pittsburgh at the David L. Lawrence Convention Center where the top professional drivers according to a number of safety metrics will go head-to-head in a skills competition to see which individual best exemplifies Zero Harm behind the wheel. We take special note of our drivers since they represent Koppers in a very visible way and the safety issues they face every day are relentless and challenging. As another safety measure, GPS units have been installed in 100% of Koppers commercial and non-commercial vehicles, providing our drivers this valuable tool to help them safely navigate their routes with confidence. As always, we continue to build on our Zero Harm culture and are committed to dedicating the necessary resources and people, time, equipment, training, and more to keep the safety and health of our employees and communities our number one priority. Now, I'll turn the discussion over to our Chief Financial Officer, Jimmi Sue Smith.
Jimmi Sue Smith: Thanks, Leroy. Earlier today, we issued a press release detailing our third quarter 2023 results. My comments are based on that information. Slide 10 shows consolidated sales were $550 million, a third quarter record, up $14 million or 3% over the prior year. By segment, RUPS sales increased $26 million or 13% from the prior year quarter. PC sales also increased $26 million, a 17% change, and CM&C sales decreased $38 million or 22%. On slide 11, adjusted EBITDA was an all-time quarterly record of $71 million, resulting in a 13% margin. By segment, RUPS generated EBITDA of $25 million and 11% margin. PC had EBITDA of $35 million and 20%, and CM&C had EBITDA of $10 million with an 8% margin for the quarter. On slide 12, our RUPS business reported third quarter sales of $234 million compared to $208 million in the prior year. The sales increase was largely due to $20 million of pricing increases across multiple markets, particularly for crossties and utility poles in the United States, along with higher volumes for crossties and crosstie recovery. The increases were partly offset by lower activity in our other maintenance-of-way businesses and decreased utility pole volumes in Australia. Market prices for untreated crossties have stabilized, but like most items, at higher levels. Year-over-year, third quarter crosstie procurement was up 23% and crosstie treatment was up 12%. Adjusted EBITDA for RUPS also represented a quarterly record at $25 million, compared with $16 million in the prior year. Profitability increased due primarily to net sales price increases and $3.8 million from improved plant utilization, which combined a more than offset higher raw material, operating, and selling, general and administrative costs. Just as in the second quarter, the favorable performance for our RUPS segment was underpinned by the record third quarter profit in our UIP business, where the margin far outpaces that of crossties. On slide 13, our performance chemicals business delivered record third quarter sales of $179 million compared to $153 million in the prior year. This can be attributed to global price increases of $16 million, or 10%, primarily in the Americas for copper-based preservatives. Volumes increased by 7% globally, which reflects a 10% increase in the Americas, partly offset by volume decreases in Australasia. Adjusted EBITDA for PC came in at a record $35 million for the quarter, compared with $17 million in the prior year. Profitability grew primarily due to increased pricing for renegotiated customer contracts, which allowed us to recoup the higher costs we began experiencing last year. Higher volumes for our wood treatment preservatives in the Americas also contributed to higher profitability, as these increases more than offset higher raw materials and selling, general and administrative costs. We are pleased that the profitability for PC has returned to normalized levels with an 18-plus percent EBITDA margin year-to-date. Slide 14 shows sales in our CM&C business of $137 million compared to $175 million in the prior year quarter. This decline was driven by $24 million of lower sales prices across most products, including carbon pitch, where prices were down approximately 10% globally, along with $26 million of lower volumes of carbon pitch and phthalic anhydride, partly offset by volume increases for refined tar and carbon black feedstock. Adjusted EBITDA for CM&C in the third quarter was $10 million, compared with $37 million in the prior year quarter, on lower prices and decreased volumes, partly offset by $4 million in lower raw material and operating costs, particularly in North America, and $2 million of insurance proceeds recognized in the current year period. Compared with the prior year quarter, average pricing of major products is down 18% and average coal tar costs are flat. Sequentially, the average pricing of major products is down 10% and average coal tar costs are down 18%. Slide 16 shows our continued commitment to a balanced capital allocation approach. For the third quarter, we generated operating cash flow of $81.6 million, a quarterly record. We continue to invest in the business and return capital to shareholders through dividends and share repurchases while reducing leverage as appropriate. In the third quarter, we reduced net debt by $48 million and our net leverage ratio to 3.2 times, compared to 3.4 times at June 30th and at year end. We finished the quarter with $810 million in net debt and $350 million in available borrowing capacity. Long-term, we continue targeting a two to three times net leverage ratio. On slide 17, total capital expenditures through the third quarter of 2023 were approximately $91 million growth and $88 million net of cash proceeds. By category, we spent $41 million on maintenance, $13 million on zero harm, and $37 million on growth and productivity projects, many of which are nearing completion. By segment, we spent $39 million in RUPS, $9 million in PC, $41 million in CM&C, and $3 million on corporate initiatives. On slide 19, as previously announced, our board of directors declared a quarterly cash dividend of $0.06 per share of Koppers Common Stock on November 2nd. This dividend will be paid December 11th to shareholders of record as of the close of trading on November 24th. At this quarterly dividend rate, which is subject to review by the board of directors, the annual dividend will be $0.24 per share for 2023. And with that, I'll turn it back over to Leroy.
Leroy Ball: Thanks Jimmi Sue. Let's review what's happening in each of the businesses relative to what we saw as the keys to success as we enter this year. Starting on slide 21 with performance chemicals, we continue to recover the massive cost increases we experienced in the latter part of 2021 right on through this year as we've notched $61 million of price increases through the first nine months of this year and have moved our PC margins back to the high teens level, which are more indicative of this business being in a healthy spot after eating a bunch of costs in 2022. Somewhat surprisingly, residential preservative demand is held pretty strong and steady throughout 2023. Coming into the year, we modeled a 5% to 0% decline in year-over-year base volumes and that excludes any net gains or losses in share, which to date have been flat to slightly negative. Through the first nine months, overall volumes are up around 6% over the same period last year. Factoring out a small net market share loss would actually have organic volumes up a little bit higher than 6%. Now that's pretty much where we found ourselves at the mid-year point and we were worried as to whether that would be sustained over the remainder of the year. Thankfully, we did not see a drop-off in Q3 and October has remained consistent as well. Recapturing our cost increases has obviously been a strong driver of our PC performance this year, but demand registering stronger than forecast has been the real key of PC exceeding its profit expectations for the year. The traditional leading indicators for this business continue to be a little scary as existing home sales continue to struggle down again in September and year-over-year down 15.4%. The leading indicator of remodeling activity projects for the deceleration and spending that began in the fourth quarter of 2022 to continue at least through the third quarter of 2024, which is as far out as they project. As I mentioned, despite those storm clouds, demand continues to be steady, likely due to treated lumber still being affordable, which is shifting some of the share of small repair and modeling spend in its direction. Now the last key to success for PC in 2023 is that Koppers preservatives such as CCA and DCOI are replacing the non-Koppers produced industrial chemical pent-up, currently being phased out after losing its US EPA and Canadian registrations. In 2022, we experienced a 33% increase in our industrial sales volumes, and through the first nine months of this year, we've seen a volume bump of 10% over prior year. Even with that kind of growth, we're tracking a little below our internal projections for the year, but the overall story remains positive. While we worry a little bit about the residential demand holding up, we expect industrial demand to continue to remain strong from increased infrastructure spending, which also benefits our utility and industrial products business. Speaking of UIP, the division of RUPS has seen on slide 22, they continue to enjoy strong demand in their business, which knocks to another strong quarter, their second best results ever, just behind last quarter's record results. Contractor delays continue to push out the completion dates of the projects we have in progress to replace drying capacity lost from a fire earlier this year, and to add additional drying capacity at one of our sites. The replacement of the kiln lost by fire was supposed to already be online, but will now occur later this month. The second new kiln that was supposed to come online in February has now been pushed back to April. At this stage, it can't happen soon enough as dry material continues to be a bottleneck to selling even more product. Helping our performance is higher pricing that generated $27 million through the first nine months, recovering costs from this year and last. We continue to work on our new Leesville, Louisiana facility, but the completion date for that facility has also been pushed out a month and is now expected to come online in February of next year. One thing that still hasn't seemed to normalize since emerging from the pandemic is contractor reliability as they continue to work through their project backlog. The bottom line for UIP is, despite things not going smoothly on our capacity projects, we continue to outperform in this business due to the strength of the market sustaining healthy demand, our sales team ensuring we're recovering costs, our operations team squeezing every tube of foot possible out of our assets, and our procurement group getting their hands on every stick of wood possible. Now, in the Railroad's Product and Services Division of the RUPS business, which is shown on slide 23, I'm going to focus my comments on the need for pricing adjustments, because frankly, we can do a whole host of other things like build dry inventory and add productivity projects like the new facility in North Little Rock, but without some fundamental acknowledgement that the world has changed drastically over the past three years, we're fighting a losing battle. When I announced on our August call that we had to realize significant price increases from the rail industry or we couldn't remain in this business, it wasn't just for a dramatic effect. Our profitability in the rail business has been in a downward slide since 2017 and has only gotten worse as the after effects of COVID on the labor environment and inflation, the war in Ukraine, and the European energy crisis have all had major impacts on our cost structure, pushing a business that was not doing great before the pandemic to a point where if we can't turn it around soon, we will be forced to make some major changes. In September, we announced that we were successful in securing some price increases from some of our customer base, and we sincerely appreciate the willingness to recognize the challenges we face by working with us to ensure our future viability in this industry. That unfortunately only represents a small part of what's needed to restore our business to health. And as a result of some customers' unwillingness to recognize our plight, we find ourselves forced to evaluate all options available to us as the highest and best use for these assets. You only have to go back to 2015 to see the precedent for the current situation we face in RPS and the resulting actions we took. Our strategy to reduce our footprint from 11 carbon distillation facilities to three in our CM&C business was heavily driven by the decision to disrupt the unhealthy dynamics that we had on both the supply and demand side of that business that were frankly choking the life out of it. We don't talk a lot about it, but slimming down our footprint enabled us to not only consolidate capacity under a leaner cost structure, but it also allowed us to be much more strategic about who we wanted to partner with on the supply side and who we wanted to sell to. The result is a much better, more profitable CM&C business, and while tension still arises from time-to-time whenever it comes to price negotiations, we seem to be able to work things out in a more collaborative fashion. It's time we put similar creative thinking to work in RPS, just as we did in CM&C back in 2015 to create more options and ultimately better outcomes for this business. Now while we'll continue to work to get fair value for our products and services under our existing RPS contracts, we will also be exploring new and different options for RPS. So what are some examples of that? Well, great examples are treating cylinders that can be used to treat product for a host of different applications. We'll be doing more scenario planning around utilizing some of those assets for the utility pull market, which has shown to be a stronger market. We will also consider exiting parts or all of the crosstie treating business through a targeted divestiture of assets. I don't make that statement lightly, because I know the impact it potentially has on our people, but I promise you we will make whatever tough decisions are necessary to ensure we are treated fairly and can make a fair return for our shareholders. Now turning the page to slide 24 takes us to our carbon materials and chemicals business. There's a lot of stuff going on here, and yes, they had a rough third quarter, but this business is in a much better spot by comparison than our RPS business. I already described the key changes we made some years back to put us in a long-term, more competitive position. And as with RPS, we're focused on creating optionality in this business, which I just talked about in my latest 412 [ph] video for employees. On the supply side, we know the coal tar market continues to shrink, which puts pressure on pricing, which is why we've focused hard on adding petroleum feedstock to our raw material mix to provide an alternative product stream and release some of the inherent pressure that comes from a tight supply market. On the other side of the equation, we've cracked the code to altering the mix of products we've produced through our distillation process to provide much greater flexibility. One of the first things I learned when I came to Koppers over 13 years ago was that for every ton of coal tar process, approximately 20% would come off as a chemical oil, 30% would come off as a distillate stream that would go into either Creosote or carbon black feedstock production, and 50% would come off as carbon pitch, primarily for the aluminum market. 50, 30, 20 was the ratio of output, and that couldn't be altered, I was told. Our team has figured out how to take that 30% distillate stream that gets turned into Creosote and carbon black feedstock and take it through another process to turn it into carbon pitch. Even better, it isn't just any carbon pitch, but a high quality carbon pitch that's grabbing the attention of electro manufacturers and opening the door for us to move Creosote from a rail market where it's undervalued to the EAF [ph] market which we believe will support higher pricing. The concept I just described was the basis for the construction of the enhanced carbon product plant that was just recently completed and is being commissioned at our Newborg Denmark plant. We talk a lot about the electric vehicle battery coating product that continues to go through testing and that would be produced from that line, and we don't spend near as much time talking about the concept that underwrote the project in the first place and is much more realizable in the near term, which is the creation of the option to convert distillate to pitch instead of Creosote. That option has become even more valuable given the situation we currently find ourselves in RPS. It won't happen overnight, but its coming. Moving to our 2023 guidance on slide 26, our sales forecast for 2023 is approximately $2.1 billion compared with $1.98 billion in 2022, with RUPS and PC expected to see top line increases. For RUPS, it will be a combination of price and volume. For PC, it will be price and volume growth. For CM&C, it's expected to be down slightly due to reduced market demand and weakened pricing over the back half of the year. On slide 27, we anticipate 2023 adjust to EBITDA to be in the range of $253 million to $257 million. On a comparable basis, this will be our ninth consecutive year of EBITDA growth and will be the largest year-over-year increase since 2015. The expected growth in adjusted EBITDA is primarily due to strong performance in our utility pole business, driving RUPS results, as well as PC delivering higher pricing and volumes, which will more than offset a struggling rail business and temporary weakness in our CM&C segment. On slide 28, our adjusted EPS guidance for 2023 is in the range of $4.35 to $4.55, which compares favorably with the $4.14 in 2022. Higher average interest costs will take a significant bite out of earnings growth generated through operations, but despite that, 2023 is expected to finish at our highest adjusted EPS in company history, surpassing the 421 achieved in 2021. On slide 29, we anticipate that our capital spending will be approximately $110 to $120 million in 2023, $5 million to $15 million higher than 2022 levels. Required spending on maintenance and Zero Harm is estimated to be $70 million, with approximately $40 to $50 million dedicated to finishing our significant growth and productivity projects that will enable us to achieve the ambitious growth projections that we have for the next couple of years. By the end of this year, we'll have spent all that would be required to achieve our 2025 adjusted EBITDA goal of $300 million, as communicated at our Investor Day event in September. In addition, we're tracking to achieve net leverage of three times or slightly higher at year end, which would be the lowest we've reduced net leverage since year end 2017. Moving to slide 30, you can see our expected path to $300 million in EBITDA from our 2020 base. During our recent Investor Day, we highlighted that we believe we're at both an inflection point for earnings and cash flow as the investments we've made begin producing results over these final three years of our five year plan. Nothing has changed to alter my belief, and if anything, the Koppers team is working even harder to ensure we create even greater optionality in order to maximize the true value of our diversified business model serving key infrastructure markets. Stay tuned. There's more where this came from next year and beyond. Now, I'd like to open it up to questions.
Operator: We will now begin question-and-answer session. [Operator Instructions] Our first question is from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Hi, good morning everyone. Good morning. Leroy, I want to just go back to the RUPS segment where you are talking about the pricing increases. And I can sense the frustration in your voice about how some of your customers will not give you a price increase that you feel is fair. I guess the question I would have is that who is out there that is supplying this product to the market that is undercutting or not putting a realistic price on what you are trying to deliver? Is this a very competitive market price slice?
Leroy Ball: So Gary, I do not know that that is necessarily the issue, right. We have long-term contracts in place. A long-term contract have served us well over the years. The rail environment has changed quite a bit, I would say in the last 10 years. The move to precision schedule railroading has caused disruption in different ways in the market and its impact on suppliers. We have endured a lot of that and then the pandemic came. And costs in just about every way you can imagine have gone up significantly. We have limited ability within our agreements to recapture those significant cost increases. So we are forced to eat them or work with our customer base to help us get some of that back to maintain a healthy supply relationship. So, we’re in that process and a lot of the conversations have gone very well. And I think that for a big part of our customer base they recognize the fact that nobody saw what was coming and has been willing to help in that regard. And others have been more painful to be quite honest. And so, the good news in all of this, right, is the diversification that we have amongst our business model enables us to continue to post the results that we post. And we hear that too. There is a rub in that, well, you keep on putting out record earnings. You do not need this. Its like, well, we are putting out record earnings. Record earnings are coming from the health in some of the other markets. And it’s not an excuse for why any particular market of ours should be that far below. And so, we are fighting on behalf of our shareholders and our people. We do put a lot of investment into that market from a sustainability standpoint, from a quality standpoint. And we think we have been good partners for a long, long time. And so, we don’t believe that what we’re asking for is unusual or out of the ordinary. Many companies have found themselves in similar situations, I think they found their way to work through it. That is all we are looking to do. I am hopeful we can get there. But yes, you sense the frustration in my voice. We were here nine years or so ago in a different business. As I mentioned, it caused us to make certain strategic decisions. Quite frankly, it turned out pretty nicely for us. But we had to – we were forced into making those decisions. And would we have rather gone a different route? Maybe, but we ended up going the route we did. Happy we did and happy with the results. And its the same sort of review process that I think we’re undertaking here in certain circumstances to see if there are some more drastic changes we need to make.
Gary Prestopino: We will be thoughtful about it as we always are.
Leroy Ball: Yes.
Gary Prestopino: Okay. And then just, as you finish some of these projects, some of them got pushed out, no fault of your own. Your growth in productivity CapEx of $40 million to $50 million this year, does that step down materially in 2024 because you have got these facilities or some of these capital projects that you are doing in some of the businesses? Do you need to keep that high level of growth in productivity CapEx?
Leroy Ball: Yes. So, I’d say, in terms of the projects that that $40 million to $50 million are going into? Yes, much of that drops off the table in 2024, because we just brought – we’re commissioning our North Little Rock facility as we speak. We’re commissioning our enhanced carbon product facility in Newport as we speak to significant projects. We will be bringing online our Leesville facility in the early part of next year. So there’s some spending that rolls into next year for that. Our expansion at Rock Hill will also go into next year. But the bulk of the dollars that are spent this year on projects, those projects are either finishing up this year or early next year. So our need to continue to fund them goes away. Then it just becomes a question of, well, we have a funnel of other projects, right? Are we going to fill that funnel back up in 2024 or in if so, by how much? And that’s what we are going through right now. Today, I do not expect that we will spend $120 million in capital next year. It’s not our intent to do that. By the same token, keep in mind, those projects are projects that are enabling us to go from $228 million to $250 million to $275 million to $300 million. So you cannot grow without investment. And so, we have a lot of other good projects. We will be a little more measured about it, I think. So I am not saying we are not going to spend anything we will, but we’re likely not going to spend, well, I do not think we’re going to spend $40 million to $50 million next year on productivity.
Gary Prestopino: Thank you very much.
Leroy Ball: You are welcome.
Operator: And the last question today comes from Liam Burke with B. Riley FBR. Please go ahead.
Liam Burke: Thank you. Good morning, Leroy. Good morning, Jimmi Sue.
Leroy Ball: Hi, Liam.
Liam Burke: Leroy, you talked about market share gains on the industrial side of PC. Is that just replacing penta or do you have other areas of market share gains or opportunities for share gains in industrial?
Leroy Ball: Yes, I would say it is primarily replacing Penta. We didn’t make that chemical. It’s gone away and it needs a replacement. In some cases, it needs to be an oil-borne preserve like a DCOI. In other cases, it doesn’t necessarily matter, and so the CCA becomes an option as well. But I would say primarily it has been really the replacement of Penta.
Liam Burke: Got it. Okay. And on CMC, your guidance for the year would reflect a pretty decent sequential recovery on the margin side of CMC. Do you still envision the business being steady, eddy, low to mid-teens, EBITDA generative? Understanding that’s a quarter-to-quarter volatility?
Leroy Ball: Yes, right. Correct. There is some quarter-to-quarter volatility that occurs. I would say that at the very least, we expect it to be in that 10% to 15% range, and with the possibility of moving it up to more like a 12% to 18% range or something like that, more up in the upper teens, which we have seen some of that throughout last year or two. But as enhanced carbon products comes online, as we are able to take some of the product that we’re producing through that process, through testing for different markets and things like that, we believe its a higher value -- we know it is a higher quality product, and there is value in that, and we believe we will be able to capture that in some additional pricing and margin. And so, that is what we think we will be able to take that up to hopefully a consistent mid-teens margin business instead of sort of a 10% to 15% type of business.
Liam Burke: Great. Thank you, Leroy.
Leroy Ball: You are very welcome.
Operator: This concludes our question and answer session. I would like to turn the conference back over to CEO Leroy Ball for any closing remarks.
Leroy Ball: Yes, I just want to, again, thank everybody for your interest in Koppers. Thank you for taking the time to join today, and we’re going to continue to execute on our 2025 strategic plan that we gave you the update on at our recent Investor Day in Chicago, and thanks to everybody for your interest.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.